Operator: Good day, everyone, and welcome to MasTec's Fourth Quarter 2016 Earnings Conference Call, initially broadcast on February 24, 2017. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis - MasTec, Inc.: Thank you, Dana, and good morning, everyone. Welcome to MasTec's year-end 2016 earnings conference call. The following statement is made pursuant to Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of initial broadcast of this conference call and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing continuing operations, adjusted financial metrics, as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release, our 10-K, or 10-Q, or on the Investor and News sections of our website located at MasTec.com. With us today, we have José Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and analysis by José, followed by a financial review from George. These discussions will be followed by a Q&A and we expect the call to last about 60 minutes. We had a great quarter and year and there's a lot to talk about today, so I'd now turn it over to José. José?
José Ramón Mas - MasTec, Inc.: Thanks, Marc. Good morning and welcome to MasTec's 2016 year-end call. Today, I will be reviewing our fourth quarter and full year results as well as providing my outlook for 2017 and the markets we serve. I am happy to report that both revenues and profits were at record levels in 2016. More importantly, we expect 2017 revenues and EBITDA to exceed 2016 results and we are again providing record levels of revenue, EBITDA and EPS guidance for 2017. Just over a month from now will mark my 10th year anniversary as CEO of MasTec. It's truly a privilege and an honor to lead such a great group of men and women who are so committed at excelling in their jobs. Over this 10-year course, we've taken revenues from $932 million to over $5 billion and adjusted EBITDA from $59 million in 2007 to $477 million in 2016, with expectations of $550 million in 2017. While these are impressive financial results and we are very proud of them, our greatest accomplishment is how we positioned ourselves across a number of growth industries that offer us expanding opportunities for both continued growth and better margins. I know I have said it before, but I truly believe that we've never been in a better position to take advantage of the opportunities our different markets are affording us. We are blessed to be in incredibly healthy markets and our opportunities for long-term growth are as good as we've ever seen. I can't wait to see what we can accomplish over the next 10 years. Now some full year highlights. 2016 revenue was up 22% to just over $5.1 billion. 2016 adjusted EBITDA was up 55% to $477 million from $308 million in 2015. Full year cash flow from operations was $206 million and 2016 full year adjusted earnings per share was $1.90. For the fourth quarter, revenue was up 31% to just over $1.3 billion, fourth quarter adjusted EBITDA was up 87% to $154 million, and fourth quarter adjusted EPS was $0.70. In summary, we had an excellent quarter and a great year. With the exception of our Power Generation business, all of our segments had double-digit revenue growth for the year. Our Oil and Gas business was up 35% year-over-year, our Communications business was up 18%, and our Transmission business was up 12% year-over-year. From an EBITDA margin perspective, we enjoyed year-over-year improvements across all of our segments versus 2015. Again, we had a great year. And what's more? We expect 2017 to be even better. Although our Transmission business improved over 2015, it still had a $34 million adjusted EBITDA loss. We expect that business to be EBITDA profitable in 2017, creating a big positive year-over-year earnings swing for the company. Our 2017 guidance represents record revenues of $5.5 billion, record adjusted EBITDA of $550 million, and record adjusted earnings per share of $2.35. As we look beyond 2017, we're extremely encouraged by our longer-term opportunities. We believe these opportunities present themselves both with the improving outlook of our end markets along with the potential impact of the new administration's initiatives. In our wireline and wireless communication markets, we expect significant uptick related to both 5G and fiber deployment. Our pipeline business is entering, what we believe, will be a large multiyear cycle of large project build-outs, and we expect that to be augmented in the coming years with improving economics in the U.S. shale plays. Drilling activity in the shales has seen a significant uptick so far in 2017. We also expect to see large industry awards in our Electrical Transmission business, leading to a much improved environment in 2018 and beyond. We are also encouraged by the new administration's position on easing the regulatory environment. We view this initiative as extremely valuable. Over the course of the last eight years, we saw project planning, permitting, and execution become much more difficult. We don't expect to see the regulations go away but rather a normalized approach to enforcement instead of what we would describe as regulatory overreach, which we've definitely experienced over the last couple of years. We're also bullish on potential tax reform. While not included in any of our estimates, a lowering of tax rates to 15% or 20% could potentially yield another $0.59 to $0.78 of earnings per share for MasTec. This increased level of earnings would add significant value to the company. Now, I'd like to cover some industry specifics. Our Communications revenue for the quarter was $596 million versus $521 million in last year's fourth quarter, up 14%. And for the year, revenues were $2.3 billion versus just under $2 billion last year, an increase of 18% for the year. While margins were up for this segment year-over-year, we did see some pressure in the back half of the year. As we discussed on our third quarter call, margins have been negatively affected by the number of new team members we have added to meet our growth opportunities as well as a slowdown in our security business. While we'll continue to see some drag in the first quarter, we expect slight year-over-year improvements in margins in this segment. Prospects for our Communications business are strong. In our wireline markets, fiber expansion continues to be a growth driver. We are seeing significant opportunities related to gigabit broadband initiatives, along with fiber deployment related to wireless back-haul. We expect 5G related build-outs over the coming years and continue to believe carriers are looking for ways to dramatically increase network speeds. We also believe that FirstNet, a nationwide public safety broadband network, is closer to becoming a reality. Moving to our Power Generation and Industrial segment, revenue was $81 million for the fourth quarter versus $79 million in last year's fourth quarter. Full year revenues were $406 million versus $382 million last year. Margins for the year nearly doubled over 2015. We expect revenues to be up in the mid single-digits for 2017. Revenue in our Electrical Transmission business was $100 million in the fourth quarter versus $71 million in last year's fourth quarter. For the year, revenues were $384 million versus $342 million last year. For the first time this year, adjusted EBITDA was slightly positive during the fourth quarter, a significant improvement. While we're not satisfied with our results, we're headed in the right direction. We've worked hard at rightsizing our business, and I am confident we're well on our way to begin making this a positive contributor to MasTec as we work to get it back to historical levels. Our Oil and Gas pipeline segment had revenues of $570 million for the fourth quarter compared to revenues of $351 million in last year's fourth quarter or a 62% year-over-year increase. EBITDA margins for this segment was 19% versus 12% in last year's fourth quarter. For the full year, Oil and Gas segment revenues were $2 billion compared to $1.5 billion in 2015, a 35% increase. Adjusted EBITDA margins also improved in this segment from 10.5% in 2015 to 15% in 2016. Backlog in this segment increased to over $2.2 billion, a record level. I continue to be surprised by the level of visibility in this segment for years to come. While we're expecting to have an excellent 2017, we are encouraged about our prospects in 2018 and beyond. We are highly confident that we will replenish backlog during 2017 and believe our best years are still ahead of us in this segment. We're also excited about the improving environment in the various U.S. shales. We have seen a significant year-over-year increase in the number of drilling rigs and with improving and stabilizing commodity prices, we expect shale-related activities to improve. We also expect to see an improving environment in Canada. We achieved record Oil and Gas results in 2016 despite a nearly $300 million revenue reduction in Canada over the last year alone. We expect stable level of revenue short-term with strong long-term potential. For example, if we could return to 2014 levels, it would add an incremental $450 million of revenue to this segment. We are hopeful we can achieve that over the next few years. To recap, we had a record year in 2016 and we expect 2017 to be even better. We're encouraged about our long-term prospects, our presence in oil and gas, communications, high voltage electrical transmission, and power generation afford us strong opportunities for future growth. I must say it's an exciting time to be a part of MasTec. I would like to take this opportunity to thank the men and women of MasTec for their commitment to safety, their hard work, and their sacrifices. Our people are our most important asset and it's because of them and the opportunities that they've created that I'm so bullish about our future. I'll now turn the call over to George for our financial review. George?
George L. Pita - MasTec, Inc.: Thanks, José, and good morning, everyone. Today I'm going to cover fourth quarter and full year 2016 financial results, including cash flow, liquidity and capital structure, as well as our initial guidance views for 2017. In summary, we are very proud of the significant organic revenue growth and financial improvement achieved during the year ended 2016. In addition, our capital structure and liquidity are in excellent shape as we enter into 2017. Looking forward, we expect further improvement and record performance in 2017 and we're also very excited about our prospects for 2018 and beyond. As Marc indicated at the beginning of the call, our discussion of financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA, and reconciliation and details of non-GAAP measures can be found in our press release, on our website, or in our SEC filings. Consistent with our prior treatment, when addressing our fourth quarter 2016 performance, adjusted results exclude the impact of approximately $1.4 million pre-tax of restructuring costs incurred primarily in our Electrical Transmission segment. These costs consist mainly of employee separation costs and lease termination expenses, and we've substantially completed these restructuring efforts as we end year end 2016. Here are some summary comments regarding our fourth quarter 2016 performance. Fourth quarter 2016 revenue organically grew over $300 million or 31% when compared to the same period of the prior year, with strong double-digit revenue increases in the Oil and Gas, Communications and Electrical Transmission segments. Fourth quarter 2016 adjusted EBITDA was approximately $154 million, $22 million above our guidance expectation. This level compares to $82 million in the 2015 quarter, representing an 87% increase or approximately $72 million. On a rate basis, fourth quarter 2016 adjusted EBITDA was 11.5% of revenue, a 350 basis point improvement compared to prior year's rate of 8% of revenue. Fourth quarter 2016 adjusted diluted earnings were $0.70 per share, $0.16 per share above our guidance expectation. This level compares to $0.21 per share for the 2015 quarter, representing a 233% increase or $0.49 per share. The primary driver for fourth quarter adjusted earnings and EBITDA performance exceeding our guidance expectation was stronger Oil and Gas segment results. Also noteworthy during the quarter was a continued improvement of our Electrical Transmission segment, which recorded positive adjusted EBITDA for the first time in 2016. We ended 2016, a year in which we funded the working capital requirements associated with over $900 million in year-over-year organic revenue growth, with strong working capital metrics, as well as significantly improved book leverage ratio metrics. In short, we delivered on the balance sheet improvement we predicted at the outset of 2016. Now let me get into some more detail regarding fourth quarter segment results. Fourth quarter 2016 Oil and Gas segment revenue increased approximately $219 million or 62% compared to the same period of the prior year to approximately $570 million. Fourth quarter 2016 Oil and Gas segment adjusted EBITDA margin was 19.2% of revenue, a 690 basis point improvement over the same period of the prior year, with this improvement due to the combination of project efficiencies and mix, coupled with improved overhead utilization due to higher revenues. Fourth quarter 2016 Communications segment revenue increased approximately $75 million or 14% compared to the same period of the prior year to approximately $596 million. Fourth quarter 2016 Communications segment adjusted EBITDA was 9% of revenue, a 120 basis point decrease when compared to the same period of the prior year and this decrease was generally in line with our expectation, given our third quarter commentary about growth-related production inefficiencies in our wireless and install-to-the-home operations for which we ramped up employee technician levels to meet customer demand in 2016. Fourth quarter 2016 Electrical Transmission segment results reported its third consecutive quarter of sequential improvement during 2016 and, as we predicted, showed positive adjusted EBITDA results during the fourth quarter. Sequential improvement in this segment was driven by the substantial completion of a previously disclosed large transmission project that was generating revenue at no margins, and the benefit of an improved cost structure due to restructuring efforts completed in 2016. Fourth quarter 2016 Power Generation and Industrial segment revenue showed a slight increase over the same period of the prior year to approximately $81 million. Fourth quarter 2016 adjusted EBITDA margins for this segment were 5.4% of revenue, generally in line with our expectation and recent trends. So, in summary, we had a strong fourth quarter results with a 31% organic revenue increase, adjusted EBITDA increasing 87%, and adjusted earnings per share increasing 233% over the same period of the prior year. Turning to a quick recap of full year results. Full year 2016 revenue organically increased approximately $926 million or 22% when compared to the prior year to a record level of $5.1 billion with strong double-digit increases across our Oil and Gas, Communications, and Electrical Transmission segments. Full year 2016 adjusted diluted earnings per share were $1.90 compared to prior year's $0.64 per share, and this represents a year-over-year increase of $1.26 per share, or 197%. Full year adjusted EBITDA was a record $477 million, a $169 million increase over the prior year's level of $308 million. Full year 2016 adjusted EBITDA margins improved 200 basis points when compared to prior year to 9.3% of revenue. And I think it's important to note that we achieved this financial performance despite suffering large adjusted EBITDA losses in our Electrical Transmission segment during the first half of 2016 and we believe those losses are behind us, affording us the benefit of what should be favorable comparisons in 2017. Now I'll cover a summary of noteworthy items related to our full year segment performance. Full year 2016 Oil and Gas segment revenue increased approximately $530 million or 35% when compared to the prior year results to a record level of slightly over $2 billion. Adjusted EBITDA margin for the full year 2016 was 15% of revenue, as we benefited from the combination of project efficiencies and mix, coupled with improved overhead utilization due to higher revenues. As we have stated in the past and as supported by our record level of Oil and Gas segment backlog at year-end 2016, we believe we're in the midst of a multiyear cycle of long-haul project activity in the U.S. that will drive significant demand for our future services. Our 2017 revenue guidance anticipates that this segment will generate a 2017 year-over-year annual revenue growth rate in the high teens to low 20% range. Based on the seasonality of our prior year segment operations with most of the 2016 revenue growth occurring in the second half of the year, we expect first half 2017 Oil and Gas segment revenue growth rates will be higher than our annual Oil and Gas segment revenue growth rate, as the first half 2017 large project activity is compared against the low first half 2006 (sic) [2016] comparable revenue base. Full year 2016 Communications segment revenue increased approximately $350 million or 18% when compared to the prior year to a record level of slightly over $2.3 billion, driven by increases across all our markets: install-to-the-home, wireline fiber, and wireless. Full year 2016 adjusted EBTIDA margin in this segment was 10.6% of revenue, a 20 basis point decline compared to the prior year's level, with second half 2016 margins under pressure related to the growth-related production inefficiencies that we previously mentioned. Our 2017 revenue guidance anticipates that this segment will generate a 2017 year-over-year revenue change, ranging between a flat level to a low single-digit decrease due to the combination of the impact of an unnamed wireline fiber customer terminating 2017 construction activities and slightly lower levels of security services. As José indicated in his remarks, we remain very excited about the growth prospects for the Communications segment in 2018 and beyond, given the expected increases in demand for 5G wireless deployment as well as geographic expansion in wireline fiber network deployments. While full year 2016 Electrical Transmission segment results reflect an adjusted EBITDA loss of $34 million, as noted earlier, we made significant progress in this segment during the year, reporting sequential improvement in each quarter of 2016 and a slightly positive fourth quarter adjusted EBITDA. We expect continued improvement in this segment's results during 2017 and simply eliminating 2016's loss levels will drive sizable improvement in our overall 2017 adjusted EBITDA when compared to 2016. That said, it's important to note that we view 2017 as a transitional year for this segment with expected improvement in end market large project opportunities in 2018 and beyond. Full year 2016 Power Generation and Industrial segment revenue increased approximately $24 million or 6% when compared to the prior year to approximately $400 million. Full year 2016 adjusted EBITDA margin for this segment was approximately 4.5% of revenue, a 220 basis point improvement when compared to the prior year. Now I will discuss a summary of our top 10 largest customers for the annual 2006 (sic) [2016] period as a percentage of revenue. AT&T revenues derived from wireless and wireline fiber services were approximately 19% of revenue, and install-to-home, satellite and security services were approximately 15%. On a combined basis, these four separate service offerings totaled approximately 34% of our total revenue. It's important to note that while all these offerings fall under the AT&T corporate umbrella, they are managed and budgeted independently within their organization, giving us diversification within that corporate universe. Energy Transfer affiliates were 27% of our total revenue. Duke Energy, Comanche Trail Pipeline and Iberdrola were each at 3%. Trans-Pecos Pipeline was 2%. And an unnamed wireline fiber customer, MidAmerican Energy, NextEra Energy Resources and Verizon were all approximately 1%. Individual construction projects comprised 57% of our 2016 annual revenue with master service agreements comprising 43%, and this mix reflects the higher level of 2016 large project activity. At year-end 2016, our 18-month backlog was approximately $5.4 billion compared with $4.7 billion at the end of the third quarter of 2016 and $5.7 billion for the fourth quarter of 2015. As we previously noted, year-end 2016 backlog includes a record level of Oil and Gas segment backlog, with approximately $1.7 billion in new Oil and Gas segment project awards during the fourth quarter of 2016, and this increase was partially offset by a reduction in Communications segment backlog during the fourth quarter, primarily as a result of the termination of future construction services from an unnamed wireline fiber customer. Regarding other areas of the income statement, full year 2016 depreciation and amortization expense was approximately $165 million or 3.2% of revenue compared to 4% of revenue for the full year 2015 period. Full year 2016 net income attributable to non-controlling interests was approximately $3 million, with most of this amount reflected in the fourth quarter of 2016 due to favorable project closeout and efficiencies in these entities, which are part of our Oil and Gas segment. For 2017, we expect this line item will approximate 2016 levels. GAAP income tax expense for the annual 2016 year was 40.6%, and this rate is slightly better than our previous expectation due to the benefit of slightly improved state income taxes and the rate benefit of higher 2016 income levels on mostly fixed levels of permanent book tax differences. Now, I'll cover cash flow, liquidity and capital structure. As we have previously noted, our long-term capital structure is solid, with low rates and no significant near-term maturities. We announced yesterday an amendment and extension of our senior credit facility that increases our overall senior credit facility capacity by over $250 million to $1.5 billion, extends our maturity until 2022, and provides us improved pricing tiers and increased flexibility to support our future growth initiatives. I would like to take the opportunity to thank our excellent and supportive bank group for their continued confidence in MasTec. As of year-end 2016, with our previous facility, we have liquidity of over $440 million and the amendment announced yesterday further adds to that ample liquidity, clearly allowing us full financial flexibility to take advantage of the various growth opportunities our markets afford us. With regard to our future capital allocation priorities, as we've indicated in the past, we continually evaluate the expected investment return associated with mergers, acquisitions and joint ventures to grow our operations, as well as share repurchase opportunities and the use of funds for debt reduction. Given the significant improvement in our leverage profile in 2016, we are less likely today to focus on debt reduction as a priority and more inclined to focus on opportunities to grow our operations. Turning to our cash flow performance, during 2016, we generated $206 million in cash flow from operations, despite investing over $185 million in net working capital related to our revenue growth. We did a good job during 2016 of managing working capital in a high revenue growth environment and ended 2016 with our accounts receivable days outstanding, or DSOs, at 68 days, equal to 2015's level. We also managed to reduce our year-end 2016 net debt levels defined as long-term debt less cash on hand when compared to 2015. Most importantly, we significantly improved our book leverage ratio during 2016 from 3.3 times at the beginning of the year to just over 2 times at year-end 2016. For working capital modeling purposes, consistent with our commentary in the past, we expect that DSOs during 2017 will range somewhere in the mid-70s, depending on the timing of project closeouts. Regarding our spending on equipment, full year 2016 net cash CapEx defined as cash CapEx net of equipment disposals was $106 million compared to $70 million in 2015. The total of our full year net cash CapEx, capital leases and financed equipment was $133 million in 2016 compared to $97 million in 2015. Moving to our 2017 initial guidance, we are currently projecting 2017 annual revenue guidance of approximately $5.5 billion with adjusted EBITDA margins approximating 10% of revenues or $550 million, and adjusted diluted earnings per share approximating $2.35. This guidance estimate represents a 7% revenue increase over 2016, a 15% increase in adjusted EBITDA, and a 24% increase in adjusted diluted earnings per share. Our 2017 guidance estimate prudently assumes that 2017 Oil and Gas segment annual adjusted EBITDA margins will moderate some from 2016 levels. Based on expected project activity, we expect higher year-over-year revenue growth and adjusted EBITDA margin rate growth during the first half of the year when compared to 2016. Consequently, given our strong second half 2016 performance comp, we are also expecting lower levels of second half 2017 year-over-year revenue growth, and we are prudently estimating moderated second half 2017 segment adjusted EBITDA margin rates until we have better clarity on the timing, weather and other conditions associated with our expected second half 2017 Oil and Gas project activity. We expect 2017 interest expense levels will approximate 1% of annual revenue, a slight dollar increase over 2016 levels, primarily due to projected increases in floating interest rates during the year. We currently anticipate 2017 depreciation and amortization expense will grow at a similar pace to overall revenue. We expect net cash CapEx in 2017 to approximate $85 million, slightly below 2016's level of $106 million. We also expect to incur an additional $85 million to $100 million in equipment purchases through capital leases and equipment financing in 2017, primarily in the Oil and Gas segment, where due to the visibility of a multiyear cycle of a large project activity, we've determined it is prudent to invest in selected equipment purchases to displace short-term rental equipment. The total of our full year 2017 net cash CapEx, capital leases and financed equipment is expected to range between $170 million to $185 million. As we've indicated in our filings over the past year, during the Waha joint ventures construction period, the majority of our equity investment in our Waha JVs has been in the form of letters of credit. During the first half of 2017, both of these pipelines are expected to reach in-service status and we anticipate that through year-end 2017 we will make cash contributions of up to $91 million in connection with our 33% equity interest in the Waha JVs. As a result of reaching in-service status, we also expect to record approximately $15 million in pre-tax earnings, primarily during the last three quarters of 2017, reflecting our 33% portion of the Waha JVs operating results. These earnings will be reflected in the equity and earnings or losses of unconsolidated affiliates line item on our income statement and will be included in the other segment results. We anticipate that our 2017 income tax rate will approximate 39%. This expectation does not include any potential actions that may be taken by the U.S. Government related to corporate tax reform, although depending on the nature and timing of such changes, they could afford us with significant cash flow and earnings opportunities. Our estimate for full year 2017 share count for diluted earnings per share is about 82.5 million shares and 82.25 million shares for the first quarter of 2017. And these share count estimates do not include the impact of any potential share repurchase activity during 2017. We currently estimate first quarter 2017 revenue of approximately $1.05 billion, with adjusted EBITDA of approximately $125 million, and adjusted diluted earnings of approximately $0.51 per share. Our first quarter 2017 expectation includes a sizable quarterly year-over-year improvement in our Oil and Gas segment results due to the combination of higher revenues related to project activity, favorable project efficiencies and improved overhead utilization. We also expect a sizable year-over-year improvement in our Electrical Transmission segment mainly from the non-recurrence of the large loss in the first quarter of 2016. In terms of some additional color on the expected timing of our overall 2017 performance, we would expect that due to project timing, total consolidated first half 2017 revenue growth rates will exceed our annual growth rate expectation, and total consolidated first half adjusted EBITDA margin rates will also slightly exceed our annual adjusted EBTIDA margin rate expectation. In summary, we ended 2016 with very strong second half year performance across multiple segments and we entered 2017 with strong backlog and multiple opportunities that support our expectation that 2017 will be a record year for MasTec. That concludes our prepared remarks. With that, I'll turn it over to the operator for Q&A. Operator?
Operator: Thank you, sir. And we'll take our first question today from Noelle Dilts with Stifel.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Hi. Good morning and congratulations on a really excellent quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Noelle.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: So, I wanted to start with Oil and Gas and just dig a little bit deeper into how you're thinking about that business next year. So, first, could you give us an update on Rover, how you're thinking about the construction schedule there and tree clearing? And then, obviously, a really standout margin here in the quarter. I understand you're looking at that from a more conservative perspective next year. But can you help us understand if there was anything sort of like in terms of favorable closeout one-time items that really drove the strength in the quarter? Or is that really just reflective of the benefit of seeing this mix toward and shift toward mainline work? And then finally, if you could just touch on any trends you're seeing in the Canadian market?
José Ramón Mas - MasTec, Inc.: Sure. So, the first part of your question, which was around Rover, I think all we'd say is we'd refer back to our Energy Transfer had their earnings call yesterday. They've basically said that they expect to make their deadline and they expect that job to be completed sometime in November. They expect to have all permits in hand to be able to accomplish that and re-concur with their sentiment and agree, and we expect that job to be completed or substantially complete by the end of November. As it relates to margins for the quarter, there were not any one-time or closeouts or anything like that. So it was truly from an operational perspective. To your last part of your question, Canada had an improvement in the fourth quarter. It had its best quarter of the year, approaching – getting close to double-digit margins, which we hadn't seen. We still showed a loss in that business for the full year, but improvement. We think it's somewhat seasonal, so we expect 2017 to be better than 2016 in Canada. But it will be choppy quarter-to-quarter.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. And then is my follow-up. When we look at your guidance for revenue and profit, it sounds like you are baking in sort of a conservative assumption in the back half of the year. To get to that $5.5 billion, do you have to win a significant amount of work beyond what you have in backlog or should we think about any major project wins at this point as upside?
José Ramón Mas - MasTec, Inc.: Yeah. We don't really need to win much to get to our backlog – to get to our guidance. From a margin perspective, I think George elaborated on it, I think we're conservatively looking at what we're going to do in the Oil and Gas sector. We finished the year at 15%, our guidance obviously assumes margins that are below that. A lot of that is based on all of the unknowns that we've been facing for the last six months relative to – for these projects. The picture is becoming a lot clearer. I don't think we've really baked that all into our guidance, so I think we've got a lot of opportunity for upside relative to what happens in 2017.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Thanks.
José Ramón Mas - MasTec, Inc.: Thanks, Noelle.
Operator: And we will take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hey, José and team, congrats on a great quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: So, José, it seems you might have low-balled in a sense your outlook for second half of the pipeline side, especially given your presence on the Permian side. So if you look at where margins could potentially go, if you can backfill the second half, could we see margins really exceeding 2016 levels fairly notably given how strong your first half is coming through?
José Ramón Mas - MasTec, Inc.: Well, let me be clear. We don't expect to slow down in the second half of 2016. So, we still expect the second half of – I'm sorry the second half of 2017...
Tahira Afzal - KeyBanc Capital Markets, Inc.: 2017, yeah.
José Ramón Mas - MasTec, Inc.: ...will be healthier than the second half of 2016. So, we're not baking in a reduction in revenues.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay.
José Ramón Mas - MasTec, Inc.: I think George was talking about revenue – I think the growth rate will be lower because it's a tougher comp, but revenues should be up the second half of 2017 versus the second half of 2016 in our pipeline segment. As it relates to margin, we obviously had a very good year, we have a very strong second half of the year. Full year margins in our pipeline segment were 15%, they were 19% in the fourth quarter. There is no reason why we shouldn't be able to replicate that over the long term. I think, at this point, with all of the obviously noise that was around some of the major projects – continues to be around some of the major projects, we've taken a conservative full year view. And if we can execute to the extent that we executed in 2016 then we're hopeful that we'll be able to beat the numbers that we're putting out today.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. And, I'm sorry, José, you mentioned something earlier on on telecom initiatives, as you think, looks really real. Can you talk a little more about that, if you don't mind?
José Ramón Mas - MasTec, Inc.: Yeah. Look, we're very bullish with our Communications sector. We've had a couple of headwinds in that business, margins were up in 2016 versus 2015. But they lagged a little bit in the second half of the year, it was driven by a lot of the growth initiatives, we had a lot of bodies in that business, especially in our installation business we think that's going to hold. We're pretty excited about the level of that business. We have had a slowdown in our security initiative relative to installations. One of our major customers there has significantly reduced their outlook for 2017 in what they're going to try to do. There is lots of big opportunities out there related to fiber expansion. Even with Google going away, there's a lot of other customers that are getting very aggressive in that space and we're very bullish about our opportunities. We think 5G is going to be obviously a big driver in our wireless business. I think some of this we see in 2017. I think we see a lot more of it in 2018. Again, we've got some really exciting opportunities. As they play out, we'll see. I think, again, we're taking somewhat of a conservative view in 2017. We expect despite the headwinds that we're going to have with both Google and some of our security business, we think we're going to pick up work to more than offset that. So I think we'll be close to flat, if not hopefully a little bit better than that.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Yeah.
José Ramón Mas - MasTec, Inc.: We're excited about FirstNet, which has a lot of potential. We think that award is coming relatively soon over the coming months. And as that plays in, it's going to have a pretty dramatic impact on our wireless business over the course of the next few years.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay. Great. Thank you very much. And congratulations again, José.
José Ramón Mas - MasTec, Inc.: Thanks, Tahira.
Operator: And we'll take our next question from Matt Duncan with Stephens.
Matt Duncan - Stephens, Inc.: Morning, guys. And congrats on a great year.
José Ramón Mas - MasTec, Inc.: Good morning, Matt. Thank you.
Matt Duncan - Stephens, Inc.: So, you guys went through in your prepared comments your revenue and margin expectations for the most part, but I don't know that you sort of went through it all. It would be helpful if maybe you could talk about each segment from both a growth perspective and a margin expectation as we move through 2017? And then specifically in the Oil and Gas segment, are you expecting a project closeout benefit in the first quarter? That's, obviously, it did sound like you're expecting a very big margin there again, maybe even bigger than the fourth quarter level here in the 1Q and then dropping down a lot. When the seasonality of that business is obviously different, right, the revenues ramp through the first three quarters, so just kind of trying to understand what's going on with margins there?
José Ramón Mas - MasTec, Inc.: Sure. So, again, in our Power Generation group, we expect a high single-digit growth rates. Margin should be slightly better than they were in 2016, but relatively flat. Our Transmission group should perform a lot better from a profitability perspective. We're also expecting revenues to increase there. Our Communications business, we're expecting to be flattish from a top line perspective based on what we've talked about with the potential to get better. We're probably holding margins relatively flat there in our guidance. As you look at our pipeline business, we expect strong growth from a revenue perspective, real strong double-digit, closer to 20% growth on a full year basis, and we did 15% margins this year. In our modeling, we've got margins slightly lower than that, and a lot of that has to do with just as we get better clarity on our performance, jobs and what happens in 2017. Obviously, we did a lot better than that in 2016 There is no reason why we shouldn't do some of that in 2017, but I think we're taking a conservative look at it. What did I miss there? Matt, did I miss any of your questions?
Matt Duncan - Stephens, Inc.: No. I think you got it. The only thing you didn't get is just the margin level in the first quarter relative to the rest (45:30)
José Ramón Mas - MasTec, Inc.: Yeah. So, we will have project closeouts in the first half of the year. We could potentially have benefits associated with them. We do have a little of that baked in. And I think, again, we need a little more clarity in that, but we will obviously give you that as that pans out.
Matt Duncan - Stephens, Inc.: Okay. And then as the follow-up question on cash flow, George, you talked about in your prepared comments that you guys have obviously done a good job reducing the leverage and now you want to focus the cash on growth. Talk a little bit about your priorities there both from an organic growth perspective where you would see cash going and then M&A what kind of things you guys are looking at and the timing of when you think you may be able to get some deals done (46:04) there?
José Ramón Mas - MasTec, Inc.: Yeah. I'll answer it, Matt. I think we've been pretty clear over the course of the last couple quarters that we haven't made an acquisition in 2.5 years, you're going to see us more involved from an M&A perspective. There are a number of markets that really interests us that we really like that we think could add a lot of value to MasTec. And I think over the coming quarters, we'll be able to talk about that and give you very clear direction on what it is that we're doing.
Matt Duncan - Stephens, Inc.: Okay. Thanks, José.
José Ramón Mas - MasTec, Inc.: Thanks, Matt.
Operator: And we'll take our next question from Alex Rygiel with FBR.
Alex J. Rygiel - FBR Capital Markets & Co.: Thanks. Great quarter, guys.
José Ramón Mas - MasTec, Inc.: Thank you, Alex.
Alex J. Rygiel - FBR Capital Markets & Co.: José, it looks like you're getting back to sort of that magical number of 10% EBITDA margins, but, yeah, you've got a couple of business units that are kind of lagging relative to maybe your expectations. Where do you think the new magical EBITDA target is for MasTec?
José Ramón Mas - MasTec, Inc.: Look, we've always said that our goal was 10% to 12%. I think – I don't think that's really changed. I think we have the opportunity to expand margins. Obviously, our pipeline business is there, we've to get our other businesses up. Lots of opportunities to do it. Some of it – we're investing in a number of these businesses to try and to diversify and grow them. I think we're going to start to see those efforts pay off. I think our Transmission business in 2018 is going to really perform at a high level again. So I think we can get there.
Alex J. Rygiel - FBR Capital Markets & Co.: And then coming back to sort of a topic that's been discussed a little bit here. Your revenue guidance is positive, up 7% this year, but your backlog is down a little bit. So book-to-burn is going to be a little bit greater in 2017 than it was maybe in 2016. What kind of visibility do you have on that in the near term? Is the first quarter kind of new award activity level running at a high pace that gives you that level of confidence? Is it FirstNet? Is it something else going on in Communications or in the pipeline segment? So, what gives you that confidence that (48:04) going to be in good shape?
José Ramón Mas - MasTec, Inc.: So first I'd say we have excellent visibility. I think a lot of – when you think about our Transmission business, I think we're going to see really nice activity early in the year. I think we're going to see good activity in our Power Gen business, which are two smaller markets, but obviously backlog is going to play a big role there. We've got excellent visibility into those two markets and what's going to happen. I think Communication is all driven by really what happened with the unnamed customer. A little bit to a lesser extent what's happening in the security market. A lot is going on in that business. Will it all happen in the first and second quarter? I don't know, but I would absolutely expect backlog to be at higher levels as the year goes on. We're very bullish in our ability to grow that business. We're very bullish that – today in some of those businesses, backlog doesn't really reflect how those businesses are performing and the future outlook for those businesses. We've always said that backlog could be choppy based on award dates and just timing and we feel that way. Obviously, our pipeline business, we executed to what we said we were going to do all year long. And I think you'll see some of the same in some of our other businesses as the quarters roll along here.
Alex J. Rygiel - FBR Capital Markets & Co.: Very helpful. Great quarter. Congratulations.
José Ramón Mas - MasTec, Inc.: Thanks, Alex.
Operator: And we'll take our next question from Jason Wangler with Wunderlich.
Jason A. Wangler - Wunderlich Securities, Inc.: Hey, good morning. Was just curious, José, you mentioned in your prepared remarks, obviously, activity returning to the shales and things. The long-haul pipeline stuff has been going very well obviously for you. But are you starting to see some more of that kind of callout business in that shorter-term work to kind of come back or if not maybe when you see – you think that could start to come up given the increase in activity?
José Ramón Mas - MasTec, Inc.: I think we're seeing some increase. Obviously, that business was down over the last 12 months, for sure. It hasn't really impacted us because we've been so busy everywhere else and I think we still are so to some extent, we're somewhat limited in our capabilities to be able to respond to some of that upside, but I think it's getting a lot better. I think customers are going to be constrained to find resources to do those shale plays. We're working hard to preparing ourselves and to be able to play a role in that. I think we see some of that in 2017. But quite frankly, I think we see more of it as we look into 2018 and 2019, I think it's going to play really well with what's happening across the rest of the business and give us yet even more opportunities for growth.
Jason A. Wangler - Wunderlich Securities, Inc.: Great. Thanks. And just would love to get an update maybe on what you're seeing in Mexico. Obviously, with Waha kind of wrapping up, just – are you starting to see some things that there could be opportunities there again in a constrained market, but something that obviously you've been focused on in the past?
José Ramón Mas - MasTec, Inc.: We're extremely bullish and we continue to believe Mexico is a great market, we think we're going to play a significant role there. Obviously, there is a lot of issues with Mexico at a macro level today as we obviously deal with the issues between the U.S. and Mexico. Mexico has got – Pemex has serious financial constraints relative to what they can do. The needs are there, the needs haven't gone away. And I think that those needs will be filled, they're going to be filled creatively. There is a lot going on down there, there is a lot of opportunities, and we obviously – it's obviously taking more time than we would've liked and hoped. One of the reasons we didn't really talk about it in our prepared remarks today, but still a very important initiative for us that we think over the next couple of years plays a big role in our ability to continue to grow, especially our Oil and Gas segment, and to a lesser extent our Transmission segment.
Jason A. Wangler - Wunderlich Securities, Inc.: Great. I will turn it back. Thank you.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We will take our next question from Adam Thalhimer with Thompson Davis.
Adam Robert Thalhimer - Thompson Davis & Co.: Hi. Good morning, guys. Congratulation.
José Ramón Mas - MasTec, Inc.: Good morning, Adam.
Adam Robert Thalhimer - Thompson Davis & Co.: José, can you give us a little color on your traditional tower work within the Communications segment?
José Ramón Mas - MasTec, Inc.: You said tower? (51:58)
Adam Robert Thalhimer - Thompson Davis & Co.: Yeah.
José Ramón Mas - MasTec, Inc.: It's solid. I mean, we had a really nice year in 2016. We experienced nice growth in that business. Again, we think that's a critical component of what's going to happen on a go-forward basis. Obviously, 5G is a combination of lots of different technologies come together, creating lots of opportunities for us. We don't think the macro side goes away. We think there is going to be a lot of work associated with macro side. So that business is good.
Adam Robert Thalhimer - Thompson Davis & Co.: Well, that was my next question was with 5G, do you see more tower work or more fiber work initially?
José Ramón Mas - MasTec, Inc.: Again, it's called wireless, right, so we understand that that everything is going to end up on a fiber, but it requires multiple touch points. So, there is going to be a significant combination of technologies that go into 5G. We can play in all of them, which I really think differentiates us as a provider. We're excited about all of them. We think they're all going to be pretty meaningful as we look at what's happening over the next few years But, to your earlier point, we absolutely believe that the macro market is intact and is an important component of what's going to happen with 5G on a go-forward basis.
Adam Robert Thalhimer - Thompson Davis & Co.: Okay. Thanks.
José Ramón Mas - MasTec, Inc.: Thanks, Adam.
Operator: And we'll take our next question from Bobby Burleson with Canaccord.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Yeah. Good morning. Congratulations.
José Ramón Mas - MasTec, Inc.: Thank you. Good morning.
Robert Joseph Burleson - Canaccord Genuity, Inc.: I think a lot of my stuff has been answered here, but one thing I was just wondering about is capacity on the pipeline side. At what point do you guys feel like maybe you start to run into some limitations on headroom to grow that business, if you can give us kind a sense for what kind of revenue you think you could do, total capacity-wise there, and if customers are concerned looking out to 2019 in terms of constraints hurting them?
José Ramón Mas - MasTec, Inc.: Yeah. So, it's something we're looking at all the time. Obviously, we're trying to manage our growth relative to where we think the market is. But if you just take our third quarter and you fully annualize it, it's almost a $3 billion run rate. We've talked about Canada having the potential to be another roughly $500 million if we got to historical levels and we talk about what we could potentially do in Mexico. You put all that together, it's obviously a very big number and a lot bigger than where we're currently at. So, we still feel that our ability to grow that business long term, the room that we've got to grow even with what we've got in place today is pretty significant. Obviously, in the U.S. today, we're running at a pretty good utilization level and we ran at high utilization levels in the second half of the year, and I think thus we saw some of the margin appreciation. But when you add in some of the other areas that haven't performed as well, our top line opportunity to grow that business over the coming years is pretty substantial.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Okay. Great. And then just on Communications, curious whether or not for the wireline work that you do there, the fiber work, do you guys expect 5G to start to be a bigger driver of growth on that side of the business versus traditional fiber deployments as you look out to 2018?
José Ramón Mas - MasTec, Inc.: We think they're both big drivers. Gigabit deployment is – a lot of the telephone companies are still – even the cable TV companies are looking to expand in that area. There is a lot of fiber deployment happening relative to residential Internet speeds. It's a big driver of the business. We don't think that that's going away. We actually think that that's increasing and will continue to increase over the next couple of years. We think we're very early in that cycle. Augmenting that will be the fiber initiatives related to wireless, which again we think will be somewhat substantial. So opportunities for growth in that business are fantastic as well as the deployment of wireless initiatives associated with that fiber that comes out. So lots of opportunities there.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Great. Thanks.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll go next to Alan Fleming with Citi.
Alan Fleming - Citigroup Global Markets, Inc.: Hi. Good morning, guys.
José Ramón Mas - MasTec, Inc.: Good morning, Alan.
Alan Fleming - Citigroup Global Markets, Inc.: Good morning. José, I think you characterized Electrical Transmission as probably having a transition year in 2017, but I'm wondering if you can talk about when you think that business can get back to more historical margin levels of the – I think at least in the high single-digit rate range? And then would you be disappointed if, in fact, if you weren't able to grow backlog in that business by the end of the year?
José Ramón Mas - MasTec, Inc.: So we will grow backlog in that business by the end of the year and we will achieve hopefully those levels in 2018.
Alan Fleming - Citigroup Global Markets, Inc.: Okay. Easy enough. Let me switch to install-to-the-home, I don't think anybody has asked you about that. It had a great 2016, but I think it was running into some more difficult comps in 4Q. So wondering how that business performed in the quarter? And then how should we think about that business in 2017, is it going to moderate to more kind of low single-digit growth rates or kind of continue to do better than that this year?
José Ramón Mas - MasTec, Inc.: So, included in that business, we've obviously got security as well, which we consider an installation, obviously, initiative. Security is struggling, so we're going to some drop-off in that business in 2017 related to 2016 out of pure installation, out of pure DIRECTV business, we expect that business to be very solid in 2017. We had tremendous growth in that business in 2016, some of the highest growth rates that we've experienced at least in the last five years. We think that those volumes hold. We're pretty confident in that business and what the requirements are there. But some of the other ancillary businesses are little bit of a drag on 2017, so we'll see where we end up, but we're probably expecting that business to be down slightly because of that on a full – as a full business on a full business run rate.
Alan Fleming - Citigroup Global Markets, Inc.: Very good. Helpful, guys. Good luck.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll go next to Andy Wittmann with Robert W. Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Good morning.
José Ramón Mas - MasTec, Inc.: Good morning.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: I just had a couple of questions on large Oil and Gas projects. On the last quarter conference call, you mentioned the names of some of the large projects that you planned to win. It looks like you won all of those. I was wondering if there is any others. And then specifically I wanted to talk about Keystone. The last time there was an announcement on the construction companies that would have a role in that one, your name wasn't on it. But since then, one of the companies has gone bankrupt. And I was wondering if you're eyeing the Keystone project as an opportunity for your company?
José Ramón Mas - MasTec, Inc.: Historically, we haven't really talked to a project specific. I know we've talked about awards once they've come in. Obviously, Rover was a big award and we've been talking about that for a little bit of time. But we're not going to get into specific projects on our calls. We're very bullish about the prospects that are out there. There are a number of projects that we feel very good about. Any major project that's out there that's being discussed, I think you can assume that MasTec is going to actively participate in somewhere or another or at least try. Again, there is a lot of work out there. We're very bullish as to what our capabilities are, our reputation in the market. We are a very different company today in that space than we were a number of years ago. I think we're a leader in that industry today and I think it would – I think it's in everybody's best interest to include MasTec and I think we can be very competitive and really deliver for customers across the board. I think you will see that and I think you will see that in our ability to continue to win projects and execute on projects. And, again, we are extremely bullish about our opportunities in that business for the foreseeable future all the way out into 2020 and beyond.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay, great. That's the only the question I had.
José Ramón Mas - MasTec, Inc.: All right. Thank you.
Operator: And we'll go next to Christian Schwab with Craig-Hallum Capital Group.
Christian David Schwab - Craig-Hallum Capital Group LLC: Yeah. Good morning. Great quarter, guys. José, I just want to follow-up again one more time, if we could, on 5G. Our checks kind of suggest the service providers in line with yours are making an increase in network speed a huge priority again. And I think there's some misunderstanding. As the 5G standard hasn't been set that that's not really what they're going to do. To your point, it's going to be a combination of lots of technologies and different carriers would go at it in different way, whether it's 4.5 or 4.5 Pro or 4.9, et cetera. But I'm curious what you guys are seeing from a customer dialogue standpoint that gives you confidence that movement starts there in the second half of 2017 and accelerate into 2018?
José Ramón Mas - MasTec, Inc.: Every customer that we have in the wireless space, just every single wireless carrier is in some form of trial of 5G. As you said, everybody is doing a little bit differently. We have a really good visibility as to what each carrier is trying to accomplish from a network perspective. I think we're participating in all of them currently in some capacity or another. So I think we understand what's coming and we're very bullish about what it means for our business over the coming years.
Christian David Schwab - Craig-Hallum Capital Group LLC: Great. And would you expect our checks suggest that this upgrade will be a big multiyear upgrade done in steps that will require a lot of modification to the network along the way, and is that what you were trying to suggest that that you have a significant technology expertise in all areas that doesn't really matter how a carrier really ultimately gets to 5G, you win. Is that what you were trying to imply earlier?
José Ramón Mas - MasTec, Inc.: Yes. And this is no different than the other technologies, right? 4G, 3G, they were multiple year deployments, it takes a long time to deploy. Again, 5G is a little different, in that it's not your typical – it's not the same as 3G or 4G. There is going to be a lot of different ways to get at it. The really nice thing about MasTec is we play along all of those different initiatives. All of those initiatives create opportunities for our company. We've been positioning ourselves to take advantage of that and we think we are in a great position to do that. So again, very bullish about those opportunities over the long term.
Christian David Schwab - Craig-Hallum Capital Group LLC: Great. No other questions. Thank you.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll go next to Chad Dillard with Deutsche Bank.
Unknown Speaker: Good morning, guys. This is Eric (01:02:49) on for Chad. Congratulations...
José Ramón Mas - MasTec, Inc.: Good morning, Eric (01:02:49).
Unknown Speaker: ...on a great year.
José Ramón Mas - MasTec, Inc.: Thank you.
Unknown Speaker: Just had a question about the Rover project. Energy Transfer mentioned a couple of times that the contract is fixed price. And just wondering as to who would bear the higher cost burden now that the project (01:03:10) timeline has accelerated?
José Ramón Mas - MasTec, Inc.: So, A, I mean, we've – our contract structures don't really change much, they are not much different. We are not going to get into the contract structure related to any particular project. In our minds, the Rover timeline hasn't really changed. We've always expected that project to be completed in November. Obviously, some of the issues around the tree trimming came to light as FERC had to make – made its last-minute decisions there to grant that permit. But outside of that, we feel really comfortable with where that job is and our ability to execute on that. So, we don't view this as a massive acceleration or anything like that. We are comfortable with what's happening. We are comfortable with the contracts that we have in place. And I don't know what else to say about that. We're pretty confident about that.
Unknown Speaker: Okay. Great. Thank you. Switching to visibility on Power Gen market. Given the recent step-down in tax credits, are you starting to see any pull-forward of work there?
José Ramón Mas - MasTec, Inc.: I think that the extension of the tax credits over the longer period of time really changed how people were looking at those projects, they were looking at more multiyear cycles. Obviously, tax credits are a critical component of that. I think the technologies on their own have seen a huge cost reduction relative to their competitiveness. So I think they're a lot more competitive today than they've ever been. I think the tax piece is becoming a smaller and smaller piece of the reason why people do these projects, but still somewhat important. So I think we'll see some fall-off of projects relative to – if there is a change in the overall tax burden, but I don't think it will be significant. And quite frankly, the positives of lower tax rates far exceed anything that we could ever see relative to those projects as it relates to MasTec.
Unknown Speaker: Okay. Great. Thanks. That's all for me.
Operator: And we'll take our next question from Bill Newby with D. A. Davidson.
William Newby - D. A. Davidson & Co.: Hey, guys. Congrats on a great quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Bill.
William Newby - D. A. Davidson & Co.: Just wanted a quick follow-up on the Transmission business, kind of wondering what you guys are seeing from a customer demand standpoint. And just kind of want to get a feel for how much of the recovery that you guys are expecting in 2017 to be because of the internal initiatives that you guys have taken in and the zero margins that you guys have worked off and how much is because of a recovery in that market?
José Ramón Mas - MasTec, Inc.: Well, our expectations in that business aren't – I don't think we have wild revenue expectations in that business, so we are not expecting a number of – we're not expecting significant growth to get to where we need to get to. I think our initiatives are more internal. With that said, I do believe the market is improving. We're seeing a lot more projects, our customers are a lot more confident in what's going to happen over the coming years. There's a lot of big projects that are going to be awarded in 2017. So we view that business as very incremental going into 2018 and beyond and we're pretty excited about what we're seeing in the market place.
William Newby - D. A. Davidson & Co.: Perfect. That's all I got. Thanks, guys.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And we'll take our final question today from Stefan Neely with Avondale Partners.
Stefan Neely - Avondale Partners LLC: Hey, guys. Good morning. Congratulations on the quarter.
José Ramón Mas - MasTec, Inc.: Thank you.
Stefan Neely - Avondale Partners LLC: My question is revolving around Communications. As you look to the opportunities that are ramping up in terms of 5G, do you see any need to maybe increase your head count ahead of that or increase your capacity to address that opportunity?
José Ramón Mas - MasTec, Inc.: No.
Stefan Neely - Avondale Partners LLC: Okay. Excellent. And my last question just to clarify on the Communication margins, do you say first quarter you expect margins to still be under pressure from your head count ramp-up there, but through the balance of the year they're expected to be up marginally year-over-year. Was that correct?
José Ramón Mas - MasTec, Inc.: Yes.
Stefan Neely - Avondale Partners LLC: Okay. All right. Thanks, guys. That's all I got. I appreciate it.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And at this time, I'd like to turn things back to Mr. Mas. Please go ahead.
José Ramón Mas - MasTec, Inc.: All right. Thank you. Really want to thank everybody for participating today. We're really excited about what we were able to do in 2016. Again, we're really excited about 2017 and look forward to starting to update everyone on our first quarter call here in a couple of months. So thank you for participating today.
Operator: And that does conclude today's conference. Thank you for your participation. You may now disconnect.